Operator: Good day, ladies and gentlemen, and welcome to the Ziff Davis First Quarter 2024 Earnings Conference Call. My name is Paul, and I will be the operator assisting you today. A question-and-answer session will follow the formal presentation. [Operator Instructions] On this call will be Vivek Shah, CEO of Ziff Davis, and Bret Richter, Chief Financial Officer of Ziff Davis. I will now turn the call over to Bret Richter, Chief Financial Officer of Ziff Davis. 
Bret Richter: Good morning, everyone, and welcome to the Ziff Davis Investor Conference Call for Q1 2024. As the operator mentioned, I am Bret Richter, Chief Financial Officer of Ziff Davis, and I'm joined by our Chief Executive Officer, Vivek Shah.
 A presentation is available for today's call. A copy of this presentation is available on our website. When you launch the webcast, there is a button on the viewer on the right-hand side, which will allow you to expand the slides. If you have not received a copy of the press release, you may access it through our corporate website at www.ziffdavis.com. In addition, you'll be able to access the webcast from this site.
 After completing the formal presentation, we'll be conducting a Q&A. The operator will instruct you at that time regarding the procedures for asking questions. In addition, you can e-mail questions to investor@ziffdavis.com. Before we begin our prepared remarks, allow me to read the safe harbor language.
 As you know, this call and the webcast will include forward-looking statements. Such statements may involve risks and uncertainties that would cause actual results to differ materially from the anticipated results. Some of those risks and uncertainties include, but are not limited to, the risk factors that we have disclosed in our SEC filings, including our 10-K filings, recent 10-Q filings, various proxy statements and 8-K filings as well as additional risk factors that we have included as part of the slide show for the webcast. We refer you to discussions in those documents regarding safe harbor language as well as forward-looking statements.
 Now let me turn the call over to Vivek for his remarks. 
Vivek Shah: Thank you, Brett, and good morning, everyone. Our first quarter financial results are some of the company's strongest since the second quarter of 2022. After 6 quarters of flat or declining revenues, we're happy to report revenue growth of 2.4% in the quarter. We're particularly pleased that subscription and licensing revenues continue to grow.
 On a trailing 12-month basis, subscription and licensing now represent over 42% of the company's revenues, providing valuable diversification, predictability and growth. It's a good start to what we expect will be a rebound year for the company. We see very encouraging signs of organic growth in a number of areas in our business as well as increasingly interesting capital allocation choices. While we still have businesses facing headwinds, they are largely isolated and navigable.
 Last quarter, I said I believed 2024 would represent an inflection point, and we're now clearly headed in the right direction. With the exception of our shopping business, every 1 of our digital media verticals grew in Q1.
 Overall, the Digital Media segment grew by a little over 2%. Most notably, our tech media vertical grew by high single digits in the first quarter, which is a sharp turnaround from the large declines we experienced over the past 2 years. I wanted to single out Mashable with traffic up 56% over the last year. At the same time, PCMag's affiliate commerce revenues were particularly strong in the quarter, and our Spiceworks B2B business is stabilizing.
 Our gaming and entertainment vertical had a nice quarter growing mid-single digits. In an indication of IGN's leadership in the gaming industry, we announced we will be holding a 3-day fan and industry event in L.A. called IGN Live to help fill the void created by the cancellation of E3. The industry and fan response has been terrific, further cementing our position as a leader in the gaming and entertainment industry.
 Notwithstanding a pause in marketing from a major pharma advertiser, our health and wellness vertical had another solid growth quarter. And it's worth remembering that this part of our business has had a strength of consecutive growth quarters.
 In January, the Cleveland Clinic launched the Cleveland Clinic Diet app featuring what we believe to be state-of-the-art food and fitness tracking in partnership with our fit now development team, the producers of our Lose It! app. The Lose It! app itself achieved record Q1 revenue bookings.
 Our shopping business represents the sole blemish in our Digital Media segment. We experienced a mid-single-digit revenue decline even with the benefit of an acquisition in the quarter. While traffic has declined at our shopping sites, including RetailMeNot, the major challenges relate to adverse changes with 2 important partners. One is a distribution partner who has reduced their distribution of our coupon codes and the other is a large merchant who has cut their commission rates. The former is likely to not improve, but we expect that at some point, the latter will.
 The performance and difficult near-term outlook for shopping are contrary to the expectations we had for the business this year. Thankfully, the strength of the balance of our portfolio is offsetting these challenges, and we believe shopping will be pointed back to growth before long.
 Our connectivity business continued its steady growth, and we launched new SaaS offerings called Ekahau Measure and Measure Plus addressing customer demand. We've seen strong initial results with these new products representing 20% of Ekahau software sales in Q1.
 We also launched the new SpeedTest Insights portal, to help our customers make more informed business decisions based on the depth and breadth of proprietary data collected by Ookla. Our cybersecurity and martech segment was a bright spot in the quarter. After a year when it declined nearly 7%, the segment grew 3.3% all organically.
 We did have a few timing benefits in the quarter, but we're confident that for the year, we will be flat and more importantly, enter 2025 with strong momentum. This is important for the company as this segment which historically was run purely for profitability is now positioned to grow organically and continue to deliver adjusted EBITDA margins in the mid-30s.
 We think the long-term shareholder value implication should be compelling. As we expect to achieve a Rule of 40 growth in very valuable software categories like cybersecurity and marketing technology. Our cybersecurity group drove the growth in the quarter. for strength in Viper's e-mail security and endpoint EDR offerings and continuing improvements in VPN, which has been a material drag on the business for some time.
 As I said in the last quarter, we believe VPN will grow in Q4 of this year. Within our martech group, our e-mail business continued its strong performance with double-digit revenue growth in Q1. Our growth in e-mail was driven by multiple factors, including strong customer retention, growing usage and the go-to-market expansion I talked about in the last quarter. The last 2 years have been unusually quiet for us on the M&A front. However, the lack of deal volume should not be viewed as anything but an anomaly.
 Our M&A machine is very much active and focused. We maintain an active pipeline of off-market opportunities that are unique to Ziff Davis, and we believe we remain 1 of the first phone calls with business owners and our sectors consider a sale. Over the last 2 years, we have reviewed many opportunities, but we are very disciplined with the company's capital. We never do deals for the sake of doing deals. And as I look back on the many opportunities we have passed on, I have no regrets.
 As we look forward, we will continue to prioritize investments in the most durable high-quality assets in our sectors. And we will seek to embrace the situations where we believe we have a unique ability to unlock value. We will not shy away from situations where we see an opportunity to turn around a challenged asset. At the same time, we will lean into acquisitions that represent growth at a reasonable price.
 While M&A remains our priority when it comes to capital allocation, we are conscious of the other options we have, including share buybacks. At our current price per share, we believe Ziff Davis is one of the most attractive buying opportunities in the market. And as a result, we expect to continue to pursue buybacks of our stock to take advantage of the dislocation between our trading price and the intrinsic value of our portfolio.
 Now let me shift to our AI enablement work. Throughout the organization, we continue to harness the power of artificial intelligence to develop new product experiences and create efficiencies across our operations.
 Moz launched 2 generative AI-powered features, domain search theme and keyword search intent. These features were designed to rapidly decode a website's core themes and strategic keywords, providing SEO professionals with instant insights into a site's purpose and competitive positioning.
 Together, these tools should streamline SEO workflows turning routine research into efficient strategic operations that deliver deeper insights faster. Across some of our health properties, we have implemented AI-powered search functionality that should enhance site utility.
 This advanced search technology should not only improve the accuracy and relevance of search results, but also simplify the process for users to locate the information and opportunities they seek. By adeptly interpreting user queries, our AI-powered search was designed to deliver a more effective and satisfying search experience, thereby boosting user engagement and experience on these platforms.
 Ekahau has implemented a leading AI-powered customer support assistant that enhances support by automating our ticket creation based on user-defined workflows. The system is designed to intelligently search for and suggest relevant documentation to resolve user issues swiftly. If issues persist, it can transition to generating support tickets, significantly streamlining the support process and enhancing user satisfaction.
 Our optimism about the transformative potential of AI across Ziff Davis remains steadfast. At the same time, we maintain our firm stance that AI companies must fully respect and adhere to our copyrights. This is essential to ensuring a mutually beneficial relationship between AI companies and publishers. In this regard, we are actively exploring licensing frameworks that effectively manage the utilization of publishers' content.
 Additionally, we are monitoring the volume and frequency of our content being scrapped. This data will help facilitate licensing deals and ensure fair compensation for our copyrighted material.
 Now let me provide you with an update on our ESG efforts. In April, we released Ziff Davis' 2023 ESG report, and separately, Ziff Davis' 2023 DEI report, both of which can be found on our website. The ESG report includes findings from our most recent greenhouse gas inventory. And I'm pleased to report that our 2023 Scope 1, 2 and 3 combined emissions represent a 38% decrease from 2022.
 This is substantial year-over-year progress and confirms that we are well on our way to meeting our validated science-based emissions reduction targets, which effectively commit us to cutting our emissions by 50% and by 2030. The report also details how we've leveraged our platforms to help implement positive change in our communities and discusses our extensive data, privacy, security and corporate governance practices.
 The DEI report provides an update on company demographics and our ongoing efforts to champion representation across Ziff Davis. Of note, in 2023, Ziff Davis increased, the percentage of both managers and corporate leadership roles held by people of color and we increased the percentage of senior leadership roles held by women as compared to the prior year.
 The report also includes the latest programs, policies and actions we are taking to foster our workplace in which all can thrive. Needless to say, I'm incredibly proud of the work Ziff Davis has done in this area, and I hope you'll take some time to review the reports.
 With that, let me hand the call back to Bret. 
Bret Richter: Let's discuss our financial results. Our earnings release reflects both our GAAP and adjusted financial results for Q1 2024. My commentary will primarily relate to our Q1 2024 adjusted financial results and the comparison to prior periods.
 Please see Slide 4 for the summary of our financial results. Q1 2024 revenues were $314.5 million as compared with revenue of $307.1 million for the prior year period. reflecting growth of 2.4%. Q1 2024 adjusted EBITDA was $100.8 million as compared with $94.3 million for the prior year period, reflecting growth of 6.8%.
 Our adjusted EBITDA margin for the quarter was 32%, a 130 basis point improvement as compared with Q1 2023. We reported first quarter adjusted diluted EPS of $1.27, an increase of 15.5% as compared with the prior year period.
 Our Q1 performance reflects revenue growth in 5 of our verticals: technology, gaming and entertainment, health and wellness, connectivity and cybersecurity all contributed to the quarter's year-over-year revenue increase. Martech was essentially flat year-over-year.
 As Vivek noted, our core shopping business experienced a revenue decline, which was largely offset by the addition of TDS' results from the date of its acquisition. Slides 5 and 6 reflect performance summaries for our 2 primary sources of revenue, advertising and performance marketing and subscription and licensing.
 Slide 5 reflects the company's advertising and performance marketing revenue results. Note that these figures include the TDS acquisition. Q1 2024 advertising and performance marketing revenue was flat as compared with the prior year period. while trailing 12-month advertising and performance marketing revenue declined by 3.5%.
 Our net advertising revenue retention an annual trailing 12-month statistic, was 91.6% for Q1 2024, which is the highest level seen since Q4 2022. In the first quarter, Ziff Davis had more than 1,600 advertisers with an average quarterly revenue per advertiser of more than $95,000. This reflects fewer customers at a higher average revenue per customer as compared with the prior year period.
 Slide 6 depicts our subscription and licensing revenue. Q1 2024 subscription and licensing revenue grew 4.8% and as compared with the prior year period, reflecting growth at Ookla, Viper, Lose It!, Campaigner and Humble Bundle, among others.
 Subscription and licensing revenue grew 3.2% during the last 12 months. As Vivek said, we very much value our subscription and licensing revenue for the diversification, predictability and growth it represents. The table on the bottom of Slide 6 includes subscription and licensing metrics for the last 8 quarters.
 Sequentially, total subscription and licensing customers increased, primarily reflecting growth in Lose It! and Humble Bundle subscriptions. Our average quarterly revenue per subscriber was $44.55, essentially flat to the prior quarter.
 Our overall churn rate increased by 23 basis points from Q4 2023. This primarily reflects the timing and mix of revenues at Ookla. The Q1 2024 other revenues increased by 5.7% year-over-year. Slide 7 provides quarterly organic and total revenue growth rates for the last 8 quarters.
 The company includes revenue from an acquired business within the definition of organic revenue for the first month in which the company can compare that full month in the current year against the corresponding full month under its ownership in the prior year. Similarly, the company excludes revenue from divested assets, beginning with the quarter of the disposal of the asset as well as from the prior year's comparable period.
 In Q1 2024, we divested 2 small businesses in our shopping vertical that serve the e-commerce marketplace in France, Ma-Reduc and Poulpeo. The results of these businesses are included in our Q1 2024 financial results through the date of the divestiture. However, per the definition, the related revenue in 2023 and 2024 is excluded from the Q1 2024 organic growth calculation.
 As depicted on the slide, first quarter 2024 organic growth was flat, which represents an improvement as compared with the organic revenue decline in Q1 2023. Technology, gaming and entertainment, health and wellness, connectivity and cybersecurity all generated organic growth for the quarter.
 Please refer to Slide 8 as we discuss our balance sheet. As of the end of Q1 2024, we had $735 million of cash and cash equivalents and $156 million of short- and long-term investments. We also have significant leverage capacity on both a gross and net leverage basis.
 As of the end of the first quarter, gross leverage was 2.1x trailing 12 months adjusted EBITDA, and our net leverage was 0.6x and 0.2x including the value of our financial investments. The cash balance is net of the cash used for the acquisition of TDS.
 The TDS acquisition also included the acquisition of a negative net working capital position, which was factored into the net cash consideration paid at closing. Our strong balance sheet continues to be the foundation of our capital allocation strategy. With the acquisition of TDS in the first quarter, we have returned to using our balance sheet to support M&A investments.
 We will also continue to consider other capital allocation alternatives. And while we did not repurchase stock during the first quarter, we plan to resume stock repurchases during the second quarter.
 Turning to Slide 10. We are reaffirming the fiscal year 2024 guidance range that we presented in February 2024. We expect Q2 to represent revenue growth similar to that of Q1 and with an acceleration in revenue growth in Q3 and Q4. Q2 adjusted EBITDA margins are expected to be a bit below Q1 2024 reflecting our plan to continue to invest in our businesses to support the balance of their 2024 plans and certain other factors.
 Importantly, we plan to continue to focus on the creation of long-term shareholder value. and not run the business to achieve short-term quarterly results.
 Following our business outlook slides are our supplemental materials, including reconciliation statements for the various non-GAAP measures to their nearest GAAP equivalent. Slide 14 includes a reconciliation of free cash flow. Q1 2024 free cash flow was $47.4 million. However, this figure includes a negative free cash flow of $39.1 million associated with TDS.
 As I mentioned previously, as an issuer of gift cards, TDS maintains a large working capital position, it also experiences seasonality and while Q1 reflects significant working capital usage at TDS, we expect TDS to be a contributor to free cash flow on an annual basis. Excluding the impact of TDS, Q1 free cash flow was $86.5 million.
 Note that our semiannual cash interest payments on our outstanding debt occur in Q2 and Q4, which will impact Q2 free cash flow. In addition, we plan to make significant cash tax payments in Q2 2024.
 Overall, we believe that Q1 2024 which reflects growth in revenue, adjusted EBITDA and adjusted diluted EPS was a solid start to 2024. And while we expect some softness in the second quarter, we have reaffirmed our guidance, which implies growth in all 3 of these metrics for the full year. Q1 also reflects the completion of our first acquisition of 2024, and we have maintained a very strong liquidity position to support our continued focus on M&A as well as other capital allocation alternatives, including stock repurchases. We look forward to the rest of 2024.
 With that, I would now ask the operator to rejoin us to instruct you on how to queue for questions. 
Operator: We will now be conducting a question-and-answer session. [Operator Instructions] The first question today is coming from Shyam Patil from SIG. 
Unknown Analyst: This is Daniel on for Shyam. So on the Mashable traffic growth number, you mentioned in the prepared remarks. Could you talk a bit more about what's going well there? And how are you able to boost traffic by that much in the quarter? 
Vivek Shah: Yes. No. So great question. Look, I think a lot of it is a very tuned content strategy. I think the editorial team there is doing a really nice job of diversified traffic sources, search, social, direct, even traffic between properties. And so that was good to see PCMag as well. So across the board traffic is actually quite good. And it's something we obviously watch very closely. We get asked a lot about what's happening in search with respect to AI. And again, the traffic story at the company continues to be positive. 
Operator: The next question is coming from Ygal Arounian from Citi Group. 
Ygal Arounian: Maybe to start, given some of the incremental news around licensing with around GenAi and the fact you spoke about it a little bit. But any more color you could share on how you think about those negotiations, broader partnerships versus licensing fees and how to think about timing around when some of those things might play out? 
Vivek Shah: So look, I think we are very encouraged to see marketplace movement relating to large language models and content owners. And so for us, it seems to be an indication of a growing consensus that there needs to be compensation.
 So that, to me, I think, is a great sign, and we're seeing arrangements and agreements announced almost daily. We are in active dialogue. I would say that we're being thoughtful and patient as we pursue these relationships because to your point, the value extraction can be multiple it can be direct licensing fees.
 It can be traffic and traffic is a value that, as you know, at least when you think about search engines, that is the trade that we content providers find ourselves in, which is the right to crawl our content in exchange for traffic and then other considerations, other developments and ways to sort of enhance and accelerate AI enablement.
 So all of that is on the table. Obviously, we have nothing specific to announce today, the dialogue is strong. I put this into the category of possibly the second mouse gets the cheese. And so I'd rather be patient and understand the market a little bit more before we make commitments that become the framework by which we work with all of the LOIs.
 And so I think we're willing to be patient here to have the market, I think, crystallize a little bit better. As I also said, I think for us, we have a good understanding of how our content and the tokens represented by our content have been used in the foundational model and what was done through common crawl.
 Now as we look at retrievable augmented generation drag, having an understanding of how frequently various LOMs are hitting our content is an active part of our process right now. We want to have a really clear sense of who's actually pulling in what when that I think will also inform those discussions. 
Ygal Arounian: Interesting to see how all that plays out in truce. There's going to be a lot there in the coming months and beyond. Maybe then just to go to the advertising market. Well, first of all, we're seeing a really strong ad market, at least for just looking at earnings in 1Q. It looks like some of those improvements are coming through. I know you guys always talk about how you have different verticals and each one is somewhat independent of the other. But what are you seeing from the ad market more broadly with some of the ups and downs you're seeing? How should we think about how all that might translate or play out over the course of the year? 
Vivek Shah: Look, I think the dynamics are very encouraging. I start with tech because tech has been, as you know, a source of drag and challenge for us for some time. So the fact that it grew, and I think arguably probably had the highest growth rate of any of the ad verticals within the company was a good sign.
 Now the comp is easier. And so I'll fully admit that, but I'd rather be up than what we've been dealing with in the tech vertical. So that was a very positive sign, and we feel encouraged about what that means for the balance of the year. Gaming and entertainment continues to be strong. We feel very good about the vertical and sort of the timing of sort of gain releases, which is a big driver of that business, but we're doing very well with consumer packaged goods as well.
 I would say in health and wellness, that has been a steady grower throughout. That has been a source of positive news for the company for a long time now. We did have a single, very large pharma marketer pause campaigns across the board that affects us like it does everyone else in the space. But we feel very confident that over time, that's going to get unpaused.
 And so that's more about strategy and leadership change at that particular marketer. As I said, the challenge for us in the quarter was in shopping, and that's not, I don't think, a retail sector statement. I think it's very specific things relating to our business, some of which I think we've got a very good handle on in terms of how to resolve, some of which I think is just a headwind we're going to have to deal with.
 But that's been the category that was the surprise, as I said in my prepared remarks. It wasn't something we were anticipating, but it's also not something we don't think we can manage. So look, the other thing I will say because everyone focuses on percentages. You have to recall that for us, at least on the downside in prior periods, we also didn't fall like many in the various verticals in which I'm discussing. And so if the decline was as pronounced, the rebound may not be as pronounced, which is something, I think, important for me to share. And so this is sometimes worth looking at over a multiyear period. 
Operator: The next question is coming from Rishi Jaluria from RBC. 
Richard Poland: This is Rich Poland on for Rishi today. I was just kind of wondering, can we peel back a little bit on the shopping just in terms of like what dynamics you're seeing going on in that business? And just kind of maybe some of the actions or steps you're taking to try and turn that around in the near term. 
Vivek Shah: Yes. So there have been basically 3 factors that produced challenge for us in Q1. First was a distribution partnership where our coupon codes and deal information were being syndicated by a distributor. It was working very, very well. The distributor made a strategic change in how they were sourcing coupon codes. And so what was a source of real upside last year sort of reversed itself.
 And look, those things happen, we're in the market looking for new distribution partnerships, but that was a fairly significant hit for us surprising in Q1. The second one has to do with a merchant that cut commission rates. Now this happens. And my instruction to the team is that when that happens, the merchant needs to feel the impact of that decision, you can't continue to drive the same volume of sales if they're cutting their commission.
 So it will become a double whammy. It's, one, the revenue loss from the commission cut and then we designing our system to reduce the amount of volume they're getting. What that will mean is that later in the year, they likely return, and they return at the higher commission rates because they see a relationship between what they're willing to pay us for transactions, commissions and what we're willing to send them.
 That, to me, is important to maintain the integrity of our pricing and our value proposition. So we'll take that hit, and that's the second piece. And then the last piece is there's been some volatility in search. Now Google recently this week, released a major algorithm update that was designed to basically combat a lot of non savings, retail coupon code property that we're trying to compete with coupon code terms where retail may not -- and other coupon code in savings brands reside, that should presumably be a benefit for us because we had been seeing non-coupon code brands starting to rank it against terms that are traditionally our strong terms.
 So those are the mix of things that are going on. Again, I think I look at it as certainly a surprise. But we've got a playbook. We know what we're going to do, and we're optimistic going into the second half of the year, where frankly, shopping is most important that we'll be better positioned than we were in Q1. 
Richard Poland: That's super helpful. And then as we just think about the capital allocation side, I think you referenced it as some interesting choices. So I guess just anything to call out there that stood out in terms of what you're thinking about in terms of capital allocation? 
Bret Richter: Sure, I'll take that. I think first and foremost, we have not wavered from our capital allocation strategy. It starts with our healthy balance sheet, which we -- is precious, and we need to maintain. And of our alternatives for capital allocation. We've been consistent, and we stand by this M&A, attractive M&A, value-accretive M&A, strategic M&A, is our preferred capital allocation alternative.
 It shouldn't be lost that in our first quarter, we did our first deal of '24 and our first still meaningful deal in an extended period of time, and we remain active. I don't need to reiterate all of Vivek's comments in our prepared remarks, but we are consistent across that dialogue.
 We also believe in the importance and the power of stock repurchases, we dedicated a significant portion of our free cash flow generation in 2023 towards stock repurchases. We didn't participate in the first quarter. A lot goes into that dynamic, including the timing of our windows when we can purchase. 
 We look back at what happened in the back part of the first quarter and maybe a missed opportunity. But where we stand right now at the stock at these levels, and we're going to look to be a purchaser of the stock in the near term. 
Operator: The next question is coming from Danny Pfeiffer from JPMorgan. 
Daniel Pfeiffer: For the first -- on the second half re-acceleration revenue growth, can you maybe unpack some of those underlying assumptions there? And maybe kind of your outlook on advertising and subscription mix has changed. And then on the second, on the Q2 adjusted EBITDA margin outlook, can you maybe unpack some of those investments that you're making? 
Bret Richter: Yes, I think first and foremost, we put out guidance in February, we're now at our first quarter call and reiterating that guidance. That guidance is for a full year. We're not managing the company in -- to hit quarterly numbers. Of course, we manage the company on a daily basis, but not in 90-day sprints.
 A lot goes into the dynamic of the first half. Second half, we highlighted on our call in February that there was a little bit of a first half, second half story. I think Q1 is consistent with that and the couple of comments we provided with regards to Q2 are also consistent with that.
 Two things. One, the success the business had early in 2024 is diverse. We're seeing it in a lot of places. A number of our properties are performing well. A number of our properties are improving trend, whether they're continuing growth that we saw in 2023 or reducing declines like in our cyber martech business, we're seeing positives across the board.
 The challenges we're seeing are concentrated, and we have to sort of manage through that. When we look to the back half of the year, it's continued growth in our businesses that are performing. It's narrowing declines. It -- a business like cyber martech that's been on that trend through 2023 and in the beginning of 2024.
 There's a little bit of calendarization in some of our businesses, in particular, in Humble Games. Vivek did note that we're looking towards some improvements in the areas that we've seen pressure in the near term. And all of that sort of feeds in, of course, we had a partial quarter of TDS in the first quarter and we'll have a full quarter of TDS' contribution throughout the year. And that business does have some late year weight to it like a number of our businesses have.
 So all those things factor in. We obviously have to perform. We have to hit our numbers, a lot of things need to happen. I'm sure we'll -- things will happen over the next came months that we didn't anticipate, but that's the plan.
 With regards to Q2, we have a lot of businesses that do a lot of things. And we don't time certain of our investments in order to manage 90-day numbers in providing context and color. We thought it was important to point out a couple of things with regards to Q2 to sort of give some transparency on our trajectory. We did have some timing benefits in Q1, which don't carry into Q2.
 We had some partial pressures in Q1, which we may see more fully in Q2 before there was turnaround but again, overall, maintaining our view of the whole year, and that plan for the year is a healthy plan. 
Vivek Shah: One aspect of the company that could be underappreciated or not focused enough on is the subscription and licensing part of the business. So in Q1, it was about half the company's revenue and on a trailing 12-month basis, it's about 42%. So it's obviously a material and growing part of our equation.
 And then as you look at its performance, it's been very steady, and so a steady organically growing proposition, and it's across the board. So we have subscription and licensing revenues in both segments. In our Digital Media segment, with Lose It!, with Humble Bundle, and a couple of other properties, Ookla, Ekahau in cybersecurity and martech, it's Viper, it's our VPN business.
 It's our martech business. And most of those businesses are now growing. And the ones that aren't, they are on their path to it. And so that, to me, I think, is very important because we have always viewed the company is having or wanting to have and focused on having a balanced business model and monetization formula, the combination of advertising and subscription.
 So I just don't want that piece lost in the dialogue, we get a lot and we get asked a lot about advertising because advertising has been obviously a challenge and it's still half the company's revenue, but the other half is doing quite well. 
Operator: The next question is coming from Jon Tanwanteng from CJS Securities. 
Peter Lukas: It's Pete Lukas for Jon. I'll be another one of those to ask about ads. Performance has been strong for large players like Google and Facebook largely credited to AI and algorithm improvements. Are you seeing any share shift in ad dollars away from your content-based platforms? And is there any impact on the -- any update on the impact of AI and how it drives traffic or improves click-through purchase rates on your properties? 
Vivek Shah: Yes. No, very good question. So on the first one, in terms of shifting of dollars, no. In fact, obviously, with the advertising business improving, we're seeing dollars coming back into our platforms. Again, the issues we're having in the retail and shopping sector are very, I think, specific to us and some of the challenges that I just enumerated. I think that with respect to the traffic question, what I will say is this, we've analyzed this in the past. We continue to launch being as an interesting real life case of what a search engine with TAI built into the value proposition and product means.
 Our big referrals continue to grow in excess of things overall. Traffic, growth and query volume and then with respect to Google search Generative experience, which as you know is built in labs which means it's not in full circulation. The instances with which there is a GAI, a search generative response continues to go down with respect to the queries for which we rank and get traffic and that goes back to ultimately Google for more than a decade has had this dynamic of zero-click searches, right?
 Searches that don't result in a click, they result in an immediate answer. Think sports scores, stock, prices, weather, that's not where we rank, and that's not where our content is seeking to get audience. As you get into more complicated and complex queries with more complicated and complex answers, and a deeper research process. That's where we specialize. And I think that's where we're not seeing any of the potential dislocation or the zero-click activity, whether AI or non AI related.
 So I'd say, again, I think from a traffic point of view, I don't look at AI as being -- it's something we watch, but we haven't seen negative effects. And then I think from an ad point of view, we ourselves are leveraging AI within our ad targeting within our properties to enhance performance as well. So the degree to which we can use AI to yield better outcomes, I think, is as important for us as it is for any seller of advertising in the market. 
Operator: The next question is coming from Jian Li from Evercore ISI. 
Jian Li: I have a question on maybe a higher level on M&A. You guys -- I think you guys have been previously more lenient to like bolt-ons in your verticals where you can gain synergies. Just given your cash position and the M&A environment today, are you looking at a broader range of opportunities and perhaps bigger opportunities. Is there any kind of new verticals where you see what you would consider building up a new exposure in? 
Vivek Shah: Yes. I mean, look, I think we have always thought of M&A really through both lenses. So we have 7 verticals, 7 platforms for acquisitions, as you know. We have all 7 of those verticals and the individuals who work there continually sourcing deals and opportunities that can -- from which we can extract value by placing them on to those platforms. That has always been kind of the center of the bull's eye.
 At the same time, adding new verticals is something we have done multiple times in the past, whether it's the shopping vertical, the connectivity vertical, the health vertical, and those -- when we do new verticals, they're larger deals. And so the answer to your question is, yes, we are looking at both opportunities within our 7 verticals and opportunities to add an eight vertical.
 I just wouldn't say that's new. I don't think that's a function of what we presently have on the balance sheet or what our debt capacity is. Obviously, it's quite robust right now, probably as robust as it's ever been. But I don't think that changes our mindset. I think what I will say is that what we've been dealing with in either scenario are valuation gaps.
 And that's what we've been dealing with. And I don't think we're alone. I think the marketplace has spoken to this and the statistics around, deals done et cetera, we've all seen them. But we do see that gap closing. We find our conversations to be more constructive. We think that our patience has been -- will be rewarded. And I know I say that every quarter, but until you see it, right, you're not going to feel it, but we feel good about that.
 And so look, I think that right now, we're in a position possibly to do both, right? They're not either or, by the way. They can be an and. So look, I think we're excited for the opportunities, and we're excited to hopefully be in a position to be talking about some of them once they're -- once we get something done. 
Bret Richter: And the only thing I'd add to that, and this is at risk of a gross oversimplification is that every M&A deal needs a thesis. Every M&A deal needs to answer one fundamental question, which is why are we the right future owner of this asset, and that can come in a number of different ways. There can be revenue opportunities, there could be product enhancements, there could be market expansion, there can be hard cost synergies. 
 Those could be within our verticals and within our businesses. They can be a new vertical. But if we can't answer those 2 fundamental elements, what's the thesis and why are we the right future owner of this business is probably not the right deal. 
Operator: The next question is coming from John Katsingris from Wedbush. 
John Katsingris: This is John Katsingris on for Dan Ives. Can we dive a little further and any color you can give to what types of conversations you're having around consumer tech side of the business and how you see that appetite and demand going forward? 
Vivek Shah: Look, I think on the consumer tech side of the business, One, I will just say, as a vertical, it is historically kind of the original vertical of Ziff Davis. So it has a lot of sort of normative import here, I guess. But more importantly, I think that the fact that we are -- I think come out of what has been a fairly punishing period of time is really great. So the consumer tech business is quite strong. The B2B tech business, which I know you didn't ask about, but we put them all together, is stable.
 We're very excited. Kate Gutman just joined us to oversee PCMag, Mashable, Lifehacker and Spiceworks, which is the tech media division, very experienced and capable executive out of the net. So we've got great leadership in place, great brands, opportunities to potentially add to our portfolio of brands over time, grow the ones we have. So we're committed to the space. 
Operator: And there were no other questions at this time. I would like to hand the call back to Bret Richter now for any closing remarks. 
Bret Richter: We appreciate everybody joining us today for our Q1 2024 earnings call. Our upcoming conference participation. again, is on our website. We have events coming up, and we hope to see some of you there. We appreciate all your attention and your investment. Thank you. Have a great day. 
Operator: This does conclude today's conference. You may disconnect at this time, and have a wonderful day. Thank you for your participation.